Operator: Good day, and welcome to the Superior Industries' Third Quarter 2019 Earnings Teleconference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Troy Ford. Please go ahead, sir.
Troy Ford: Thank you. Good morning, everyone and welcome to our third quarter 2019 earnings call. During our discussion today, we will be referring to our earnings presentation, which, along with the earnings release are available on the Investor Relations section of Superior's website. This morning, I'm joined by Majdi Abulaban, our President and CEO; and Matti Masanovich, our Executive Vice President and CFO.Before I turn the call over to Majdi, I would like to remind everyone that any forward-looking statements contained in this presentation or commented on today are subject to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Please refer to Slide 2 of this presentation for the full Safe Harbor statement and to the Company's SEC filings, including the Company's annual report on Form 10-K for a more complete discussion of forward-looking statements and risk factors. We also will be discussing non-GAAP measures today, including value-added sales and adjusted EBITDA. These non-GAAP measures exclude the impact of certain items and therefore are not calculated in accordance with US GAAP. Reconciliations of these measures to the most directly comparable US GAAP measures are found in the appendix of this presentation.With that, I will turn the call over to Majdi.
Majdi Abulaban: Thanks, Troy, and good morning, everyone and thank you for joining us today to review our third quarter results. Let me begin by taking you through the highlights for the third quarter. I will then provide you an update on our progress relative to the strategic priorities I have discussed previously and finally I will take you through the actions we’re taking to drive improvement.I will begin on Slide 3 of the earnings presentation. During the third quarter, we shipped 4.9 million units globally at an increase of 2% versus the prior year. The year-over-year increase was supported by recovery in our European business, including in the aftermarket. In addition, the third quarter of 2018 was impacted by WLTP.Partially offsetting the strong performance in Europe was the ongoing weakness we’ve seen in North America. We also felt some effects from the strike at General Motors, which negatively impacted our North America shipments in Q3 by 75,000 units or $5 million in net sales. We will continue to see an impact in the fourth quarter, which is reflected in our revised outlook.Despite the mix volume results globally, our performance reflects the continued momentum of our positioning as a premium wheel solutions provider. During the quarter, net sales and value added sales increased to $352 million and $196 million, respectively. While the combined North America and European markets were actually essentially flat year-over-year, our value added sales grew 12% significantly ahead of markets.This growth underscores our progress on capitalizing on the secular shift to larger, more complex wheels and premium finishes. Additionally, we are encouraged by the results our global team delivered during the quarter. This is reflected in the 27% increase in adjusted EBITDA despite the impact from the GM strike.In line with these results, the cash initiatives we executed enabled us to reduce net principal debt by $12 million during the quarter versus the prior year we have reduced net debt by $114 million, a very strong result over the past 12 months.We remain laser focused throughout the organization on driving incremental cash initiatives to enable further net debt to our production. As a result of these efforts, we are increasing our full-year 2019 outlook for cash flow from operations. At the same time, due to the impact of the GM strike, we are narrowing our outlook for unit shipments, net sales, value-added sales and adjusted EBITDA, while maintaining our outlook for capital expenditures. Matti will elaborate more on this shortly.Moving on to Slide 4. I would like to touch again on our operational priorities more broadly, and then I'll speak specifically about the activities we're executing in the near-term to improve North America profitability. As I mentioned earlier, we are focused on cash generation as well as improving adjusted EBITDA. Many of these priorities and value creation opportunities apply to both regions.First, driving operational excellence remains a key focus for us. This includes rightsizing our production and aligning our operational costs to current industry production levels. In regards to our operating system, we are taking a holistic approach to improvement and are putting in place the tracking and accountability in all functional areas, from commercial to purchasing and from operations to engineering, in order to drive value creation.Second, we remain focused on strengthening our operational leadership team. This includes our recent announcement of Mr. Andreas Meyer, as the President of our European operations. Andreas has deep experience in operational leadership roles within the automotive sector and a track record of delivering results. He will play an integral role in leading our European organization, championing cross regional collaboration, which is very important in our business and will strengthen our global team.In addition, Mr. Kevin Burke was appointed as Chief Human Resources Officer. Kevin has a strong track record in leading HR functions globally. He will play a key role in leveraging and developing cross regional talents. We are excited about having both, Andreas and Kevin on the team.With respect to our North America region, the segment of our business requiring the most attention. I personally have been overseeing our initiatives. At the same time, we’ve also strengthened our operational leadership team in Mexico.Third, with respect to customers, we continue to execute our strategy to pursue a balanced portfolio across premium and base level wheels to maximize utilization. We also are making progress with European OEMs in North America. I will touch this on that a bit later. Also, from a commercial standpoint, we are focused on creating a profit minded organization where we deliver value to customers throughout the value chain. We are putting in place operating systems in our commercial side of the business with metric visibility and accountability for profit enhancement.Fourth, we remain focused on enhancing our portfolio and improving underperforming product lines. For example, we’re improving profitability on our polishing product line by consolidating and shifting production to lower-cost service providers.Fifth, we’re continuing to enhance our financial position through focus on cash flow generation. We have made tremendous improvement in our working capital efficiency across all metrics. Further, we continue to focus our capital resources on our highest priority initiatives where we see strategic value and where we see clear paybacks.Finally, as it relates to capital allocation, as you know, we announced the suspension of the common dividend in the third quarter. This reduction will enhance our ability to reduce debt or invest in the business by approximately $11 million. Our view here is that this will translate into incremental equity value for our common shareholders.Moving on to Slide 5. I will now speak more directly to the actions we are aggressively pursuing to drive improvement in North America. We’ve talked extensively about the opportunity ahead of us, just to provide you a benchmark or a point of reference, so our margin on value-added sales in our European segment is about 400 basis points higher than on our North America segment. We are focused on narrowing this gap.We won't go through all these actions, but I'll give you a few highlights. First and foremost, we are setting the immediate term priorities and rallying the team are on the most critical execution areas in operations with customers and portfolio. From an operational standpoint, given the volume outlook, we announced the reduction of our manufacturing operations in Fayetteville and the team is executing very well here.With this action, we now have a more competitive footprint in North America, but also one that is agile and able to respond to market dynamics. Further, we are placing significant emphasis on improving foundry capabilities inside the plants, including more chop and casting process controls. The entire foundation of the wheel process actually starts here. It is critical that we have stability and solid execution in this area of our facility. And quite frankly, this area of manufacturing in North America has been a weakness and we must correct it.Enabling this improvement is also a reduction in attrition. We are currently implementing targeted plans to improve retention in the most critical areas of the plants. Relative to customers, we are working to get our Mexico facility validated to serve our European OEMs in North America. The call, we mentioned last time European OEMs manufacture 1.2 million vehicles in North America and that is an opportunity for us. In this regard, we have made significant progress in the quarter.We have been leveraging the expertise actually -- we’ve been leveraging the expertise of our European team and strengthening our leadership team in Mexico. We've also been focused on several complex launches and that successfully executed key milestone in readiness and productivity and here I’m referring to productivity before launch not after.And finally, relative to portfolio, we have made significant progress in the validation of PVD, a finishing technology that the company has invested significant resources to develop. We now -- I’m pleased to report that we now have the release from one of our major customers to launch this product. So the technology is released and the process is released. Needless to say, there's still significant work to be done to launch it, but this is a very positive step forward in broadening and expanding our portfolio for premium wheel finishes.Let me finish by saying we're making progress. We are executing on our initiatives, but we have substantial work ahead. Our priorities are crystal clear. Our team is aligned and we are establishing the right operating structure that will drive shareholder value. Ultimately, we are going back to basics in many areas of our business.With that, here's Matti, who will provide details on our financial results for the quarter. Matti?
Matti Masanovich: Thanks, Majdi. Before I get into the detail, I would like to emphasize the positive momentum we've seen in the organization on cash flow versus our internal expectations. as Majdi mentioned, since the third quarter of last year, we have seen a dramatic improvement in net debt, which is favorable by $113.6 million supported by a focus on cash by the entire organization. Our concentration is now on sustaining and enhancing these improvements.Also during the quarter, our large diameter wheel mix increased to roughly one-third of our overall portfolio, up more than 10% from the third quarter of 2018 highlighting the secular tailwinds in the market and our ability to be in front of these trends.Let me now provide a more detailed review of our financial performance for the third quarter and the first nine months of 2019. Turning to Slide 6, our North America shipments declined more than the overall market due to the items Majdi mentioned earlier, including reduced share, take rates and lower production at our key customers.Year-over-year our customers were down 4% versus the overall North America market, which was down .4%. Superior's units were down 2.3% year-over-year in the region. Note that this year-over-year percentage change is adjusted for Superior units shipped in Europe -- produced in Europe and shipped to North America for assembly. Value-added sales per wheel results were favorable due to our mix of larger, higher content wheels and resulted in value-added sales per wheel increase of 6.5% in the region.In Europe, despite the market being flat, we saw higher production at our key customers, which were up 6% year-over-year, and resulted in Superior unit growth of 5.9% in the region, including higher volumes in our aftermarket business. Again as I mentioned, Superior's year-over-year unit growth figures are adjusted for shipments from the European segment to North America for assembly. Value-added sales per wheel is up 9.4% driven by our shift towards larger more complex wheels.Turning to Slide 7, Slide 7 reflects the breakdown of unit shipments, net sales and value-added sales by region for the third quarter of 2019 as compared to the prior year period. As Majdi mentioned previously, our unit shipments increased to 4.9 million units compared to 4.7 million units in the prior year period. The increase in shipments was driven by higher volumes in Europe, including our aftermarket business, partially offset by lower shipments in North America.Our North America unit shipments were negatively impacted by approximately 75,000 units due to the UAW strike. For the quarter, we reported a net loss of $6.6 million, equating to a loss of $0.57 per diluted share. Including a nonrecurring loss of $0.49 per diluted share compared to a net loss of $700,000 or a loss of $0.37 per diluted share in the prior-year period.Please note that the third quarter included net adjustments to net income totaling $15 million. This $15 million includes expenses, which relate to the restructuring of our Fayetteville location, which totaled $13 million. The $13 million is comprised of $7.6 million of accelerated depreciation on assets and a total of $5.4 million for severance for the workforce in Fayetteville, write-downs on supplies and other consumable inventory and other costs. Please see the appendix for the reconciliation of net income to diluted earnings per share and the table with the adjustments to net income.Year-to-date, net income for the first nine months of 2019 was $2.6 million or a loss of $0.84 per diluted share, which includes acquisition, restructuring and other net cost of $0.49 per share. This compares to net income of $17.8 million or a loss of $0.32 per diluted share in the prior period. Please note that the year-to-date adjustments include adjustments totaling $14.7 million to net income.The income tax benefit for the third quarter was $4.8 million on a pretax loss of $11.4 million compared with an income tax benefit of $7.1 million on a pretax loss of $7.8 million in the prior-year period. The tax benefit amount is primarily due to the effects of U.S taxation on foreign earnings under global intangible low tax income or GILTI provisions of tax reform and of the forecasted valuation allowance on nondeductible interest partially offset by a benefit due to the mix of earnings amongst tax jurisdictions.The income tax provision for the first nine months of 2019 was $7.7 million on pretax income of $10.3 million compared to an income tax provision of $1.1 million on pretax income of $18.9 million for the first nine months of 2018. The year-to-date tax provision was driven primarily by GILTI, which now includes the taxation of the company's full foreign operations as compared to a phase in under GILTI in 2018 as well as the previous mentioned impacts in the third quarter.Due to these mentioned impacts for the quarter and year-to-date period, our effective tax rate remains high. We expect a high effective tax rate for the full-year of 2019. In terms of cash taxes, we continue to expect approximately $10 million of cash taxes for the full-year, which is already incorporated into our full-year outlook for cash flow from operations.On Slide 8, let me walk you through our change in net sales and value-added sales year-over-year for the third quarter of 2019. Value-added sales increased to $195.5 million compared to $179.1 million in the prior year period, driven by improved product mix, comprised of larger diameter wheels and premium finishes in both segments, as well as higher volumes, which had a positive impact of $22 million. These improvements in mix were partially offset by weaker euro, which impacted value-added sales by $5 million.On slide 9, adjusted EBITDA was $38.9 million for the third quarter of 2019 compared to $30.6 million in the prior period. The increase in adjusted EBITDA was primarily driven by improved mix and higher volume. The foreign-exchange impact was negligible as the weaker euro was offset by the peso U.S dollar FX rate including the impacts of our foreign exchange hedge program.Cost performance was slightly favorable with higher energy prices in Europe, specifically in Poland being offset by global procurement savings, lower energy prices in North America and other performance initiatives. In North America, since the spike in energy prices in the third quarter of 2018, we've seen electrical rates decline by approximately 15%.As discussed previously, we had made capital investments in our locations in Mexico to enable the purchase of electricity on the secondary markets. At this time, we expect these systems to be fully operational early in the first quarter of 2020 and will result in reduced electric costs in North America.In Europe, we have seen an increase in natural gas and electric rates by approximately 35%, specifically in Poland. We have been focused on offsetting this increase through other efficiency initiatives, but it was a headwind in the third quarter and year-to-date periods.For reference, SG&A expenses for the third quarter of 2019 were $16.3 million or 4.6% of net sales compared to $16 million in the prior-year period. For the quarter, adjusted EBITDA as a percentage of value-added sales, improved by 2.8% to 19.9% year-over-year driven by operating leverage on increased volume, improved mix of larger more complex wheels and performance initiatives, including procurement savings offsetting higher energy prices in Europe.Moving to Slide 10, I will take you through a walk of value-added sales for the first nine months of 2019. Value added sales for this period were $581.9 million compared to $590.9 million in the same period in 2018. The reduction in sales was primarily driven by weaker euro, which had a negative impact of $19 million. Lower volume partially offset by improved mix comprised of larger diameter wheels and premium finishes in both regions had a net favorable impact of $10 million.Turning to Slide 11, adjusted EBITDA was a $131.3 million for the first nine months of 2019 compared to a $140 million in the prior period. The decrease in adjusted EBITDA was driven by lower volume and higher energy prices in both regions. While energy prices in North America were lower compared to the third quarter of last year, on a year-to-date basis, it is still been a headwind. Also as previously mentioned, the rates in Poland are also higher than last year.These energy -- these higher energy prices constitute most of the negative cost performance year-over-year. All these items were partially offset by an improved product mix consisting of higher content wheels and material procurement savings. Year-to-date, adjusted EBITDA as a percentage of value-added sales decreased by 1.1% to 22.6%, driven by negative year-over-year performance in the first half of 2019, including volume and higher energy costs, partially offset with favorable mix and procurement savings.SG&A expenses for the first nine months of 2019 were $46.7 million or 4.4% of net sales compared to $60.6 million in the prior-year period. The decrease was primarily due to reduction in acquisition and integration expenses and an alignment of reporting for SG&A in both of our regions.I will address our third quarter cash flow and capital structure on Slide 12. Net cash from operating activities was $32.7 million compared to $33.5 million in the prior period. This result is very strong compared to the other -- compared to that of the prior year as last year's cash flow from operations was largely driven by the usage of the accounts receivable factoring program.Net cash used in investing activities was $18.9 million for the third quarter of 2019 compared to $17.3 million in the prior-year period. During the quarter, Superior suspended its quarterly common dividend, allowing the company to reallocate approximately $11 million annually, inclusive of dividends to common shareholders and the participation of the preferred shareholder to invest in the business and reduce net debt.Dividends paid during the quarter totaled $6.3 million. This will be the last quarter for the payment of a common dividend. Purchases from -- for minority holders of Superior Industries Europe totaled $2.5 million in the quarter. As of the end of the third quarter, we had approximately $9.1 million or 1% of the minority ownership outstanding.Also during the quarter, Superior repurchased €7 million of face value of its 6% senior unsecured notes on the open market for €5.9 million, resulting in a pretax net gain of $1 million, which is included in other income and has been deducted to arrive at our adjusted EBITDA. The repurchase of our senior unsecured notes and other debt payments resulted in a total reduction of $12.4 million in debt principal during the quarter.Currently we have available liquidity of more than $250 million, which includes cash and availability under our revolving credit facilities and no near-term maturities of our funded debt. We also have an incremental availability under our accounts receivable factoring program. As of the end of the third quarter, our net leverage was approximately 3.3x, down nearly half a turn from the prior-year period.Finally, move on to our outlook on Slide 13. Looking ahead to the remainder of 2019, we are increasing our outlook for cash flow from operations, which is now expected to be $135 million to $155 million for the year due to the progress of our working capital initiatives so for this year. Reflecting the impact of the UAW strike at General Motors, we are narrowing the range for units, net sales, value-added sales and adjusted EBITDA. This outlook reflects our current view of the ramp up rate at General Motors and sustained production for the remainder of the year. Finally, we are maintaining the range for capital expenditures.I will now turn the call back to the operator and open-up for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Gary Prestopino with Barrington Research.
Gary Prestopino: Good morning, everyone.
Majdi Abulaban: Good morning.
Matti Masanovich: Good morning, Gary.
Gary Prestopino: Hey, just a couple of things here. You said your 19-inch or higher wheels got up to 33% of units in the quarter. By notes that I had, you had said that that would be your target by the end of the year. So, I mean, what would be a realistic run rate of that as we go forward? I mean, you’ve already hit your target one quarter earlier. I mean can it get up to 40% or higher over time?
Matti Masanovich: Yes, I think the future Gary is larger, more premium wheel. It's all about content and favorable mix, and so we do think it will continue to proliferate. We haven't put our guidance and we will put our guidance when we give our -- in early next year after the Q4 call. But we do think it's going to continue to penetrate and 19 -- the phenomenon of 19-inch wheels with premium finishes is certainly alive and well. And we did get to the target that we've said earlier in the year at the -- in Q3. So we are happy about that. I don't see a major shift from where we are Q3 into Q4 and the year-end. So we are kind of thinking that it will be about the same kind of penetration as we exit the year.
Gary Prestopino: Okay. And then, Majdi, you mentioned something about the fact that you're trying to get I think I was writing this down, you’re obviously working real hard to get Mexico where you wanted to be. You’re also working to get some kind of a certification? Is that correct to be able to do European-based manufacturers that are in the U.S to produce wheels for them for the U.S market? Is that correct? Majdi, I hear that right?
Majdi Abulaban: Hey, Gary, that is absolutely correct and it's an area that we’ve been focused on over the last four months. We’ve had a few launches on the docket with European OEMs and those were critical because fundamentally they get our plans released to quote on future business. And recall that is a substantial opportunity for us to grow with underpenetrated customers in North America, and that’s specifically European OEMs. So having our plant certified to support and quote and source with BMW, with Volvo, with Daimler is very, very important. So really good progress in the quarter that the team has done.
Gary Prestopino: Can you give us some idea of -- are you certified with any of those even like Audi. I assume Audi as well, right?
Majdi Abulaban: Yes. Absolutely. Yes, absolutely, yes. So in the quarter we were certified with Audi, with BMW, with Volvo and with VW, with those four customers.
Gary Prestopino: Okay. And that means that you can start producing wheels, or then you just have to win the business, right?
Majdi Abulaban: Well, a couple of things there. On a few of those customers, we had already been sourced, what I would call incubation business for us to try to demonstrate our capability. In other cases, we are transferring a localizing business and units that are coming out of Europe. So in both cases with these four customers, we should be in production -- and then -- before the end of the year.
Gary Prestopino: Okay. Thank you.
Operator: Our question comes from Glenn Chin with Buckingham Research. Mr. Chin, your line is live. Please verify you’re not on mute.
Glenn Chin: Sorry about that, gentlemen. Good morning.
Majdi Abulaban: Good morning.
Glenn Chin: So thank you for the detail regarding the impact from the GM strike. Can you share what the profitability impact was from it?
Matti Masanovich: Yes. I mean -- yes, so we -- directionally, it's approximately $1 million of lost profitability.
Glenn Chin: Okay. And then -- so I’m encouraged to see the operating cash flow, that was a big benefit from working capital and inventories was a big source of cash. Can you tell us was that a function of the strike? And should we expect it to reverse in subsequent quarters as GM production ramp backs up -- ramps back up?
Matti Masanovich: Yes. So I will say that our --we’ve advertised this initiative since the beginning of the year and we’ve been focused on taking out reducing our DIO and specifically North America was a huge contributor in the first six months of the year. We also saw some improvement here in DIO in Europe for Q3, and so we knew it was coming. And so as we sit here and look today, I don't necessarily see a significant change in the inventory DIO -- from a DIO perspective as we exit Q4 -- go through Q4 and exit Q4. So I think we've done -- we’ve a little more work to do in Europe to get our inventory down. We are focused on the sustainability of the DIO, so we used to carry in North America -- I think the advertiser answered the question, we used to carry about two -- little over two weeks of inventory. We are trying to trim that down to about a week's worth of inventory today in North America. So we are -- it's a source of cash for us this year clearly, and we’ve also benefited from -- some metal coming down as well, metal cost coming down as well. But overall, I think we’re adequately sized with our inventory balances as we exit Q3 for the GM strike. And that $1 million was for Q3 only. It's going to be a bigger number of impact for earnings for the -- on a full-year basis for the impact to the UAW strike.
Glenn Chin: Okay. Yes, that was my next question. Okay. And then, can you -- I don't recall you guys articulating, specifically targets or goals for Fayetteville? What exactly is the intent there, or how severely is it being restructured?
Majdi Abulaban: Well, I will take that and Matti can add more. So the intent is to have all of production out of Fayetteville before the end of the year and what we have left there is basically our technical center and our service
Glenn Chin: Okay. So no longer function as overflow capacity, so to speak?
Matti Masanovich: Yes, correct.
Majdi Abulaban: Correct.
Glenn Chin: Okay. Very good. Okay, great. Thanks. That's it for me.
Majdi Abulaban: Thank you.
Matti Masanovich: Thanks, Glenn.
Operator: [Operator Instructions] Our next question comes from Gary Prestopino with Barrington Research.
Gary Prestopino: Yes. I was going to ask something about Fayetteville as well. That’s been answered. So I guess, Majdi you’re feeling pretty good about what's going on in Mexico as far as getting the quality up, relative to not having any kind of production capacity in the U.S anymore?
Majdi Abulaban: No, I’m feeling pretty good not only about Mexico, but holistically, Gary, about North America. I walked you through the plan on chart 5. The team is just absolutely focused on executing. I see us being very well-positioned to close that gap I mentioned between North America and Europe on margins and hitting the ground running here as we going to the new year.
Gary Prestopino: All right. And just lastly, I know just started here. And I don't have this on the tip of my tongue, but as far as how your people are compensated bonus wise ever, whatever, are you contemplating changing anything that focus is more or less towards EBITDA margin, EBITDA generation and working capital and cash flow things like that?
Majdi Abulaban: No, I expect we continue -- so our LTI program is based on the earnings per share, ROIC and DSR, and we will continue to do that. So there's a cash flow element, there is an EBITDA element and earned element. And our annual compensation is based on EBITDA. So I expect as we continue to own that direction.
Gary Prestopino: Okay. Thank you.
Operator: [Operator Instructions] [indiscernible] I’m showing no further questions in the queue at this time.
Majdi Abulaban: All right. Thank you everyone.
Operator: Thank you, everyone. This concludes today's teleconference. You may now disconnect.